Operator: Welcome to Rockwell Automation’s quarterly conference call. I need to remind everyone that today’s conference call is being recorded. Later in the call, we will open up the lines for questions. (Operator Instructions). At this time, I would like to turn the call over to Rondi Rohr-Dralle, Vice President of Investor Relations. Ms. Rohr-Dralle, please go ahead.
Rondi Rohr-Dralle: Thanks, Lacey. Good morning. Thank you for joining us for Rockwell Automation’s third quarter fiscal 2009 earnings release conference call. Before we get started, I need to let you know that we had a little snafu with our first press release this morning. It was really in the supplemental information portion of that press release. So we needed to issue a correction. None of the numbers or the notes changed or anything, but please refer to the updated release, which is now posted on our website at www.rockwellautomation.com, along with the charts that we will be reviewing this morning. Please note that both the press release and charts include reconciliations to non-GAAP measures. A webcast of the audio portion of this call and all of the charts that we reference during the call are available at that website. The webcast will be available for replay and the materials from this call will be accessible for the next 30 days. With me today are Keith Nosbusch, our Chairman and CEO; and Ted Crandall, our CFO. Our agenda includes opening remarks by Keith, followed by Ted’s review of the quarter and discussion of 2009 guidance. There will of course be time at the end of the call to take your questions, and we’ll try to get to as many of you as possible, so please limit yourself to one question and a follow-up. We expect the call today to take about 45 minutes. As is always the case on these calls, I need to remind you that our comments will include statements related to the expected future results of our company and are therefore forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995. Our actual results may differ materially from our forecasted projections due to a wide range of risks and uncertainties that are described in our earnings release, and detailed in all of our SEC filings. So, with that, I’ll turn the call over to Keith.
Keith Nosbusch: Thanks, Rondi, and good morning to everyone who’ve joined us on today’s call. Before Ted reviews the charts, let me start with a few comments on our results this quarter, and our expectations for the balance of the fiscal year. The revenue and earnings results for the third quarter played out pretty much as we expected. The year-over-year organic revenue decline of 27% in the quarter was significant, and reflects that we are still in the midst of a serious global recession. We did see a higher than expected revenue decline in our solutions business, but flat sequential revenue in our products business is one sign of market stabilization. Segment operating margins were down dramatically versus 2008, but conversion margin improved to 37%, primarily due to favorable mix and great execution on our cost savings initiatives. Ted will provide more detail on the cost reductions in his remarks, but we are on track to meet or exceed the 2009 target of $280 million, and we made more progress on identifying actions that will incrementally benefit 2010 and beyond. We delivered another great cash flow quarter, with free cash flow of $168.5 million, primarily by reigning in capital expenditures and tightly controlling working capital, particularly inventory. I want to recognize all of our employees for staying focused on our business priorities in this difficult environment. They have executed well and have not wavered in their dedication to our customers. Now, let me shift gears and discuss our outlook for the balance of 2009. There is still uncertainty in the global economy and macroeconomic indicators are mixed. We are seeing signs of improvement in the industrial production rates in some countries, and improvement in PMI in most countries. However, these measures do not yet indicate market expansion. It appears that the economy may be approaching a bottom, but certainly the market environment is still weak and we have not yet seen evidence of an upturn. For the fourth quarter, we expect revenues to be up somewhat sequentially, reflecting the seasonality of our solutions business. For the full fiscal year, we expect revenue, excluding currency to decline closer to 18%, the low end of our revenue guidance. Based on this revenue outlook and our anticipated cost savings, we are reaffirming our fiscal 2009 projected earnings per share range of $1.40 to $1.70, excluding the impact of additional restructuring costs in the fourth quarter of this year. Let me wrap up with a few comments. I remain very confident in Rockwell Automation’s future. Industrial companies need our technologies and our domain expertise to continually improve their productivity and remain globally competitive. We continue to expand our sustainable manufacturing portfolio of products and solutions to meet our customers’ safety, environmental and energy efficiency needs. We continue to gain recognition in process automation. Our revenue diversification strategy is working. We have great employees and partners, who remain dedicated to our business objectives and we have a strong balance sheet and liquidity position to weather this down cycle without compromising our long-term strategy. So in spite of the difficult business environment, we are successfully balancing near-term financial performance with continuing to invest in our core technologies. We have executed well in this downturn and are well positioned for when the economy does recover. Now, over to Ted.
Ted Crandall: Thanks, Keith, and good morning. As Rondi noted, we’ve posted charts to our website and my comments will reference those charts. So I’ll start on chart one, the Q3 results summary. Starting at the top of the slide, revenue in the quarter was $1.011 billion, that’s down 31% from Q3 last year. The effects of currency translation contributed five points to the decline and acquisitions increased sales by a little less than one point. Segment operating earnings were 86 million, down from $258 million in Q3 last year. Segment earnings this quarter included approximately 7 million of restructuring charges related to our ongoing cost reduction efforts. Purchase accounting expense and interest expense were both favorable to last year and General Corporate net expense was almost $6 million below the same quarter last year, primarily due to cost reductions, currency effects, and the resolution of certain legal matters this quarter and Q3 last year. The effective tax rate in the quarter was 34.7% that compares to the 28.5% in Q3 last year. The rate this quarter was higher than expected due to tax on a dividend related to the planned disposal of a non-US subsidiary. This was related to restructuring actions in the quarter. The year-to-date effective tax rate was 22.9%. The comparable effective rate for the first nine months of last year was 28.5%. Fully diluted EPS was $0.23, all from continuing operations. The restructuring charges and the tax related to the intercompany dividend, each reduced EPS in the quarter by about $0.03. Average diluted shares outstanding were 142.4 million in the quarter, down from 148.1 million shares last year. There were no shares repurchased in Q3 this year. I’ll move now to chart two, Q3 results Rockwell Automation. As I mentioned on the prior chart, sales for Q3 declined 31% year-over-year with currency accounting for five points of the decline. Sequentially, sales declined by 4% with our solutions businesses down about 11 and product businesses in aggregate approximately flat to Q2. On the right-hand side of this chart, you can see that segment earnings declined significantly year-over-year, but were flat sequentially, despite sales being lower by almost $50 million. Segment operating margin contracted by nine points year-over-year to 8.5%. The year-over-year decline in segment earnings and operating margin is primarily due to the significant decline in revenue offset in part by our cost reduction programs. Compared to Q3 last year, conversion margin was approximately 37%, our best results so far this year. Sequentially, operating margin increased by almost 0.5 point, despite lower sales. The improved conversion margin and the sequential operating margin improvement reflect several factors, including the impact of our cost reduction initiatives. We’re on track to achieve or somewhat exceed our fiscal ‘09 targeted cost reduction. We experienced somewhat better product versus solutions business mix in Q3. Gross margin was somewhat better than expected, particularly in our solutions businesses, and generally spending was somewhat lower than expected this quarter. Regarding the favorable gross margin and lower spending in Q3, we believe a portion of that related to timing issues and would expect some correction in Q4. As I mentioned, segment earnings in Q3 included approximately 7 million of restructuring charges. Including the actions taken in Q2, we have now banked about $25 million of the cost savings for fiscal ‘10 against the potential 50 to 100 million we talked about at the end of Q1. We will continue to assess market conditions and expectations as we proceed through Q4 and the term and the need for further cost actions. Although not displayed on this chart, our return on invested capital was 14.8%, down from 24.5% last year, the decrease primarily due to reduced earnings. Turning to chart three, this chart covers the Q3 results of the Architecture & Software segment. Sales for Q3 were down 36% year-over-year, down 31% excluding the effects of currency translation. Sequentially sales increased about 2%. Operating margin was 10.8%, down 13.9 points compared to Q3 last year, but up 2.4 points sequentially. The year-over-year decline is principally due to the very sharp organic sales decline in this high margin business, partially offset by cost reductions. Chart four covers Control Products & Solutions. In this segment, sales decreased by 28% compared to Q3 last year, 23% excluding currency effects. Excluding currency effects, sales for the solutions businesses within Control Products & Solutions declined by 17% compared to Q3 last year, with the product portion of the segment down at about the same rate as Architecture & Software. Sequentially, the solutions businesses declined by 11% compared to a 2% decline in the product portion of this segment. Earnings were down significantly from Q3 last year and down sequentially. Segment operating margin contracted year-over-year by 5.2 points to 7%., the decline due to a combination of volume and currency again partially offset by cost reductions. Moving to the next chart; chart five provides a geographic breakdown of our sales in Q3. I’ll focus my comments on the far right column, which shows the regional growth rates, excluding currency effects. The mature economies led the year-over-year declines. The US was down 29%, with EMEA down 26%. Canada was down 35% with continued weakness in all industrial sectors, and particularly in the eastern part of the country. Asia-Pacific sales were down 16% year-over-year, but up modestly sequentially. Exporting countries remain particularly weak. China sales were down about 12% compared to last year. However, we did see sequential revenue growth in China of about 6%, with particular strength in our product businesses and it appears that the stimulus in China is having some near-term impact. Latin America sales were down this quarter by 25%, somewhat higher than we expected. That’s our first quarter of year-over-year decline in this down cycle. However, we think the Q3 year-over-year decline may be somewhat exaggerated by the timing of the Easter holiday and normal variability of our solutions businesses. I’ll move to chart six, free cash flow. Q3 was our very strong cash generation quarter. Free cash flow for the quarter was a $168 million, that’s a conversion in the quarter of over 500%. Our conversion year-to-date is about a 180%. We have continued to carefully manage both working capital and capital expenditures. Working capital reductions contributed $95 million to free cash flow in Q3, with continued significant inventory reduction. Capital expenditures were $22 million in the quarter and $68 million year-to-date. Last year through Q3, capital spending was a $103 million. We are now expecting cash flow conversion for the full year to be about a 140%. Now before I move on to address guidance, just a couple of comments on our balance sheet. We continue to believe our balance sheet remains an important strength for the company. Debt-to-capital at the end of Q3 was 36% and net debt-to-capital was 17%. Also at the end of Q3, we had cash and equivalents of $580 million and we have paid down all of our short-term debt. Our first maturities of long-term debt are in 2017. We continue to tightly manage cash and our balance sheet, consistent with the current market conditions. Now on chart seven, we are reaffirming our previous earnings guidance for the full year fiscal ‘09, that’s EPS in the range of $1.40 to $1.70. That does not include any restructuring charges that we might take in Q4. Based on Q3 and our expectations for Q4, we expect full year sales excluding currency effects to decline about 18%. That’s the low end of our sales guidance range. We stated last quarter that we expected currency to cause a further decline of about 7% for the full year. If rates remain in Q4 at about the average of Q3, that will be closer to 6%. We continue to expect segment operating margins for the full year to be in the range of 9% to 11%. We expect our full year effective tax rate to be in the range of 22% to 25%, that’s 1 point higher across the range than our previous guidance and primarily due to the intercompany dividend that occurred in Q3. With that, I’ll turn it over to Rondi for Q&A.
Rondi Rohr-Dralle: Thanks Ted. Lacey, we’re ready to open the line for questions.
Operator: (Operator Instructions). Your first question comes from Steve Tusa - JPMorgan. Please proceed.
Steve Tusa - JPMorgan: I’m just curious as to why such a wide range around things, only one quarter left to go here. I mean, I understand the visibility challenges in your model, but given that you have a little bit more of a read on where sales are, the EPS range seems quite wide?
Ted Crandall: Given the rapidly changing business conditions, we needed to change our earnings guidance each of the past two quarters. Since we still expect a result in the range of the guidance of $1.40 to $1.70, we decided not to change the range again this quarter.
Steve Tusa - JPMorgan: I guess with the little bit better sales, is there anything on the margin? I guess, you said there was some timing from a cost perspective, that’s going to come back in the fourth quarter. Then you have I guess the tax rate maybe a little bit lower in the fourth quarter. Could you just maybe walk through some of those dynamics to help us calibrate on a sequential basis?
Ted Crandall: Let me try it this way. I would say that given the Q3 results, and even though we believe we will now be at the low end of the sales range, we would view the low end of the earnings range as less likely than it would have been a quarter ago.
Steve Tusa - JPMorgan: Okay. That’s very helpful. Thanks and then one other question. Just on the software initiative with regards to FactoryTalk and the integration with Integrated Architecture, can you maybe just walk through what some of the mileposts are in your mind over the next couple of years, Keith, as to what we should be looking for other than just operating results to be able to gauge where you guys are in this process of proliferating this business?
Keith Nosbusch: Sure, Steve. I think there are a couple of things. One will be the continued development of new applications in different vertical industries. So, as we continue to release pieces of the portfolio and expand the portfolio, particularly with respect to the Incuity and Pavilion and FactoryTalk segments, that’s the way that we need to continue to grow, is to continue to release more packaged software. I would also say the success will gauged by the ability to do multisite rollouts for customers. The ability to move beyond pilots, move beyond single site installation to where we are demonstrating the ability to evolve towards true enterprise rollouts, and the continued expansion geographically, as companies evolve and as we get a bigger footprint into the different regions of the world. Obviously, that’s all predicated upon additional customer proof points that demonstrate and quantify the value that the integration of the information with the plant floor, with the enterprise business systems and the supply chain will demonstrate to customers. So, I think those are a number of the milestones that we think are important to be able to generate the type of revenue and the opportunity that we believe today this has.
Steve Tusa - JPMorgan: Keith, assuming a flat CapEx environment next year, which is far from a lock, certainly in our view, but assuming that things stabilize and these guys get a chance to kind of truly prioritize their investments over the next couple of years, would you assume, given that the pilots are under way that some of these pilots run their course over the next year and then you start to see more enterprise adoptions in fiscal year 2011? How do we think about the timing in your mind, assuming that CapEx does stabilize, and these guys get a little bit of chance to take a breather and reevaluate their budgets?
Keith Nosbusch: Yes. I think it is a couple of years out, but really it boils down to the validation of the proof points, because in some cases, this can continue to evolve by a slower rate, even without a strong CapEx. They’ll just do fewer plants and they’ll put it into their most critical applications and cost reduction opportunities.
Steve Tusa - JPMorgan: Great. So, we should see some of the news on the pilot stuff coming out in 2010. We should be kind of looking for that as proof points?
Keith Nosbusch: I do believe we should be seeing the success of the pilots being talked about. The acceleration of the implementation is something that will continue to be questionable until we do get a little more certainty in what’s going on with the economy.
Operator: Your next question comes from John Baliotti - FTN Equity Capital Market.
John Baliotti - FTN Equity Capital Market: Keith, you mentioned that, and it wasn’t that big of a deal as your free cash flow is obviously very strong and lower CapEx did help, but obviously that was not the main driver of that. However, just in terms of, if you’re reigning in CapEx, are you seeing a similar trend or a similar pattern with customers? Given where we are with IP or capacity utilization, are they behaving in a similar way as you?
Keith Nosbusch: Absolutely. I would say we’re not anything different. You look at the fact that we’re dropping our CapEx. I would say we’re very similar to what we both hear from our customers, both factually and in particular with some of our global accounts and anecdotally. So, I think 20%, 30% reduction in CapEx, I would say quite candidly, is the norm as opposed to the extreme. I think probably, the segment that is still spending is in more of the resource-based industry, simply because, those projects are longer cycle. I think we’ll see those slowing as we go into 2010 and oil and gas is probably one of the stronger and water and wastewater, although small, continues to spend a little. We’re seeing obviously the stimulus effect in China, where infrastructure CapEx is probably continuing to be relatively high, but those are the exceptions, not the norm.
John Baliotti - FTN Equity Capital Market: Well, with respect to that then, as you think about your own business and maybe as a precursor to what your customers would do. Is there a specific indicator that you’re looking for to flatten or to show some percentage, some basis point improvement that gives you feeling that, it’s time to bring CapEx back up?
Keith Nosbusch: I think you have to look at our pieces of CapEx quite frankly. Where we will and must continue to spend is in new product introduction. So any ongoing project work that we have, particularly in our core technologies, we will keep the CapEx flowing to support launches and to support the development of that new technology and that’s just going to keep happening, period. Obviously, we’re not doing as many projects, but, the projects we’re doing; we will provide the CapEx for them. Where some of our more expanded spending has been occurring in the last couple of years have been in the globalization of our footprint and in our business systems. Those are areas obviously, with the reduction in revenue, the globalization of our footprint, it’s not as great of a need, but we’re pretty well through it anyway. Then in the business system, we have slowed some of the implementation of that, simply because we did need to conserve the cash and execute the project a little differently than we had started. So, those are the areas that we’ll be monitoring and tempering with the external environment to see at what rate we can or should increase those in the future.
John Baliotti - FTN Equity Capital Market: If you look at your customers, obviously you’ve had a fair amount of experience in this industry and you have good relations with your customers. What are you hearing? What are they looking for?
Keith Nosbusch: I think the reality is that that you see our customers continuing to talk about spending in some of the emerging markets, where they are trying to develop a foothold and create future opportunity. So we still see the need for the emerging markets to require investments. You see them pulling back probably the greatest in the developed countries simply because the volumes have dropped so greatly. They don’t need any capacity and what they are talking about, particularly in the consumer related industries are investments that they are looking at and potentially willing to make in the broader arena of sustainability and certainly the ability to deal with the carbon footprint, to deal with the reduction of CO2, the reduction of energy, improvements in their environmental and safety areas. Those would be the areas that probably have the greatest short and midterm opportunity, given that it’s certainly not capacity. Then what we’ll see coming back first will be the productivity investments that help them reduce costs or improve the quality and performance of their portfolio. I think that’s how we see it coming back.
Operator: Your next question comes from Nigel Coe - Deutsche Bank.
Nicole DeBlase - Deutsche Bank North America: This is actually Nicole, asking questions on Nigel’s behalf. First of all, if you guys could talk a little bit about pricing, are you guys seeing increasing pricing pressure from your competitors?
Keith Nosbusch: I think given where we are in the cycle, there certainly is a tougher pricing environment and I would say we are seeing stronger pricing pressures from competitors, particularly in some of the larger project work and I think that’s natural, given the current environment that we’re in. Obviously our strategy continues to be to create the value and the differentiation, whether it be in our product or in our domain expertise that allows us to create that value model for our customers and that’s something we continue to do even in a difficult pricing environment.
Ted Crandall: We’ve been saying consistently, we expected pricing to be about neutral this year. That’s still our expectation.
Nicole DeBlase - Deutsche Bank North America: Then, if you guys could comment on, what you’re seeing in the front log?
Keith Nosbusch: Yes. In the front log, what we are seeing is a continued push-out of projects, which means the front log is growing a little, but it’s really because of the continued slowdown in the execution of the projects, not necessarily because there’s a lot of new opportunity. I would say where we’re seeing the best delta in with respect to front log is in Asia-Pacific, where we are seeing the impact of some of the stimulus spending that is now taking place.
Nicole DeBlase - Deutsche Bank North America: Then one more, if I may. If you guys could talk about for the restructuring costs that you’ve taken year-to-date, how much of that would you estimate is temporary versus structural? Then, how does this quarter’s 7 million break-down between the two segments?
Ted Crandall: Let me try and answer the first part of your question by describing the total savings that we targeted for the year. You remember we originally started at the end of Q1 talking about 240 million of savings for the year. Last quarter, we had increased that to 280. We now believe that it will be closer to 300 for the full year. The largest part of the difference between 280 from last quarter and 300 this quarter is increased volume-related savings. Of the total 300 savings for the year, we expect about a 100 million of that to come from volume-related savings, about 50 to come from what we would call temporary actions or transitory costs that would include things like the mandatory time off program, the suspension of the 401(k) match and reduced incentive compensation payments this year. Then the balance of about a $150 million is what we would consider more structural and discretionary cost reductions. Of the $7 million in the quarter, I mean you can think of it as roughly split about equally between the segments.
Operator: Our next question will come from the line of Mark Koznarek with Cleveland Research. Please proceed.
Mark Koznarek - Cleveland Research: First of all, I just want to cover the normal commentary on some of your key growth initiatives, Logix process etcetera?
Keith Nosbusch: Sure. With Logix, we have seen a lower revenue year-over-year, but better than the company average. So, we’re continuing to see performance better than Rockwell Automation in the Logix portfolio. We also saw another quarter of significant decline in the legacy portfolio, and that was at a higher level than the company average. I will say Logix did have a sequential increase quarter-to-quarter. So, we believe that that’s a good sign of the future opportunities that are being created in the marketplace with Logix. With respect to process; process did decline in Q3, but once again slower than the company average. We believe the decline is all about market conditions. We’re still very happy with the progress we have made in this space. We continue to expand, and this was a good quarter for expansion of our product portfolio and services with the introduction of some new capabilities, and we continue to do well in legacy replacements and quite frankly in many greenfield applications. With respect to Plant PAX; our process automation system continues to gain traction in our served markets, and in conjunction with ICS Triplex safety systems, we have won several large projects, in particular in the oil and gas sectors, but also in consumer and packaged goods. So process continues to perform well and we continue to make inroads in that space. With our OEM business; I think it’s safe to say our OEM business is down, but consistent with the rest of the business, really across the board all of our OEM segments exhibited declines. The best performing have been the process and alternative energy that are basically flat year-over-year. We also are involved in many new machine designs. We have a very active engagement with our technical resources, working with customers on new machine designs, and certainly the slowdown is an opportunity to reengineer or design new machines. It certainly gives us the opportunity to increase machine share at this time. That will play out in the future as those machine designs ramp up in volume, but certainly the OEM initiative, while we’re very active, is not generating increased revenue at this point in time. So, that’s some comments on probably the three most important ones, Mark, and gives you a little perspective of what’s going on.
Mark Koznarek - Cleveland Research: Okay. Thank you. As a sort of unrelated follow-up, I had a question on a couple of areas that seemed like they could impact 2010 margin or profit potential from a structural standpoint outside of any volume changes. On the one hand that’s a positive, it would seem that you announced shutdown of some major facilities in Georgia and Iowa, and it seemed like they’ll be out of the mix for much of 2010. So, I’m wondering how material that is in terms of margin improvement. Then on the other hand, we understand from the channel that you’re not implementing a price increase for fiscal 2010. Ted also just mentioned that, this year you expect pricing to be neutral and that would be net of the price increase from earlier this year. So, if you don’t have an increase going into 2010, if that underlying environmental pressure on price is still unfavorable, could we have negative price realization in 2010 offsetting some of your structural improvements?
Keith Nosbusch: Let me talk to the first question, and I’ll let Ted talk to the pricing one. With respect to the plant shutdowns, although they were announced, they will not be implemented until late 2010. So, it will have really no impact in 2010 with respect to margin improvements as we go through the shutdown phases. So not a lot of help in that regard in 2010. Those benefits will accrue mainly starting 2011.
Ted Crandall: Hi, Mark. Just a follow-on to Keith’s comment on those facilities. While those facilities per se, we don’t think have a big impact in 2010, we do think we have some tailwind going into 2010 that’s a consequence of all the restructuring actions we have taken this year. I think I may have mentioned the last time in the actions taken to-date, we will exit about one million square feet of real estate, including those facilities. On the pricing front, we have not made a decision to not implement a fiscal 2010 price increase. Based on our assessment of current market conditions and the competitive environment, we have made a decision not to announce one this month. We will continue to monitor the market and announce a price increase when we believe it is appropriate. In terms of fiscal 2010 margins, there will be a number of headwinds and tailwinds as we go through 2010. We’re in the middle of our fiscal 2010 planning process right now, and as normal, we’ll provide our guidance in November.
Rondi Rohr-Dralle: Operator, this is Rondi Rohr-Dralle. I think we’ll take two more callers.
Operator: Your next question comes from John Inch - Bank of America Securities-Merrill Lynch. Please proceed.
John Inch - Bank of America-Merrill Lynch: I just want to go back to the guidance. The range imputed about $0.09 to $0.39, but your organic revenues based on the down 18% seem to be sort of in the low-20s, much better than the number we just put up. Do you expect earnings to be up sequentially or what would cause you to see earnings at the low end? I mean, it doesn’t really make a lot of sense to me.
Keith Nosbusch: John, I think in response to Steve’s question, we already said, given the results in Q3 and our expectations for volume in Q4, we would view the low end of the earnings range now as less likely than we would have considered it to be a quarter ago. Now that being said, the market environment remains uncertain. You know that our earnings are very leveraged to volume, and particularly our product business volume. That’s the part of our business where we’ve had a lot of discussion over the past year, where we have the least visibility to customer demand.
John Inch - Bank of America-Merrill Lynch: Has your view changed since you’ve seen July? I, mean what have you seen in July, you’ve got two months left? I just can’t envision a scenario where you could see your earnings below based on the run rate. Help me out, maybe you can.
Ted Crandall: No, I would say our view has not changed based on July. I would characterize July as consistent with what we were seeing in the third quarter. As Keith mentioned, we’re expecting actually a little bit of a sequential increase in sales in Q4, primarily as a consequence of seasonality in the solutions businesses.
Keith Nosbusch: To your point, John, what could happen? Our fourth quarter is probably the most backend loaded quarter that we have in the year. Obviously, July and August are big vacation months in the US and Europe, and so this quarter is traditionally all about September. Given the limited visibility that we have in our product businesses, if September slows, we then could find ourselves in a different situation than we’re currently at given what happened at the end of our Q3 and the start of the Q4. So that really is the scenario that talks to the possibility of the low end, and is consistent with how our business plays out.
John Inch - Bank of America Securities: That’s where I was going. That makes more sense. What happened with MRO versus the project business in the quarter? I’m thinking less to do with year-over-year and more sort of the trend, the sequential trend. What happened between those two buckets?
Merrill Lynch: That’s where I was going. That makes more sense. What happened with MRO versus the project business in the quarter? I’m thinking less to do with year-over-year and more sort of the trend, the sequential trend. What happened between those two buckets?
Keith Nosbusch: To have a precise picture on that would probably be an overstatement, but this is certainly our perspective of what happened, and that is, as the quarter played out, you saw continued improvement in industrial production and PMI, and inventories were starting to get in line, which means plants had to run at stronger rates as the quarter unfolded, and therefore we believe compared to our Q2, MRO was stronger. We also believe that our solutions business was an indicator of a continued slowdown in projects. So, we would think, why we had a better product mix was because of MRO, and why we had a weaker solutions portfolio than we expected was because of projects. So, that’s a little qualitative as opposed to a precise quantitative response.
John Inch - Bank of America Securities: No, that’s helpful. Thanks, Keith. I would also like to look at the restructuring again. I am just trying to make sure I understand this. The $100 million that’s volume dependent, that basically means what? It means if volume had not gone down, you would not have realized the $100 million of savings? Is that what you mean by that?
Merrill Lynch: No, that’s helpful. Thanks, Keith. I would also like to look at the restructuring again. I am just trying to make sure I understand this. The $100 million that’s volume dependent, that basically means what? It means if volume had not gone down, you would not have realized the $100 million of savings? Is that what you mean by that?
Keith Nosbusch: That’s exactly it.
John Inch - Bank of America Securities: Okay. So, in theory, I guess where I’m going with this is, if you had not done any restructuring, no actions to drive the $300 million, does that imply that you would be losing money on a run rate basis? Is that how to think about this? It also kind of drives the issue of what’s ultimately variable versus fixed that can carry forward to 2010 that’s going to be independent of volume, maybe just to help us just sort of think about this a little more granularly.
Merrill Lynch: Okay. So, in theory, I guess where I’m going with this is, if you had not done any restructuring, no actions to drive the $300 million, does that imply that you would be losing money on a run rate basis? Is that how to think about this? It also kind of drives the issue of what’s ultimately variable versus fixed that can carry forward to 2010 that’s going to be independent of volume, maybe just to help us just sort of think about this a little more granularly.
Ted Crandall: Your characterization is at least close to correct, which is in the absence of any restructuring; earnings would be close to zero right now.
John Inch - Bank of America Securities: Then what’s the carry-forward, Ted? I mean, independent of volume, what’s the carry-forward into 2010? How should we think about that?
Merrill Lynch: Then what’s the carry-forward, Ted? I mean, independent of volume, what’s the carry-forward into 2010? How should we think about that?
Ted Crandall: Of the total 300, think about us exiting Q4 with about a $100 million of that $300 million. I would say a little more than half of that is a combination of volume and the transitory or temporary actions, so the other half is structural and discretionary cost reduction.
John Inch - Bank of America Securities: But there’s nothing incremental, right? Like, I mean that $100 million is already there. So, while it doesn’t simply just carry-forward, there’s nothing that adds on top of that. I guess that’s the 50 to 100 you’ve been talking about, is that correct?
Merrill Lynch: But there’s nothing incremental, right? Like, I mean that $100 million is already there. So, while it doesn’t simply just carry-forward, there’s nothing that adds on top of that. I guess that’s the 50 to 100 you’ve been talking about, is that correct?
Ted Crandall: Exactly. Of which, we’ve told you we’ve already banked $25 million of that for fiscal 2010.
John Inch - Bank of America Securities: Okay. I think that makes sense. Just lastly, automotive, can you just remind us how large auto is, and as the production SAAR picks up in the calendar fourth quarter, would you guys expect to see some sort of coincident or perhaps, nearly lagging benefit from this? How should we be thinking about this?
Merrill Lynch: Okay. I think that makes sense. Just lastly, automotive, can you just remind us how large auto is, and as the production SAAR picks up in the calendar fourth quarter, would you guys expect to see some sort of coincident or perhaps, nearly lagging benefit from this? How should we be thinking about this?
Keith Nosbusch: I think with automotive; you should not expect an impact in quarter four simply because of run rate. Those plants have been pretty idled, and they have a lot of excess capacity, and there is some cannibalization going on where they have flexibility in their production lines. So, we’re not expecting pickup in automotive in Q4.
John Inch - Bank of America Securities: You mean your Q4 Keith or calendar Q4?
Merrill Lynch: You mean your Q4 Keith or calendar Q4?
Keith Nosbusch: Our Q4. I’m sorry. Our Q4, John. What we are seeing is the start of discussion in particular with Chrysler and GM, where they are talking about their new platforms and their new projects that probably will be instituted in fiscal year 2010. So, we’re optimistic, cautiously optimistic that towards the end of our fiscal year 2010, we’ll see the program investments that they have been delaying as they have been working through bankruptcy. So, we believe the first benefit we’ll start seeing from where we’re currently running at in automotive will be in the later part of fiscal 2010.
John Inch - Bank of America Securities: What about for Ford adopting Logix, does that not benefit you sooner does that not benefit you sooner?
Merrill Lynch: What about for Ford adopting Logix, does that not benefit you sooner does that not benefit you sooner?
Keith Nosbusch: That’s an ongoing thing. Ford never really stopped. They were the one investor throughout this process and the automotive business that we have generated in this year, in particular our second and third quarter and our fourth will be mainly because of Ford expenditures and mainly because of the transition to the Logix architecture. So, Ford continues to be investing. Obviously, it’s a smaller investment and a smaller number of platforms, but Ford has been the aggressive participant in their strategy execution over the last couple of quarters.
Rondi Rohr-Dralle: Okay. Lacey, we’ve got time for one last caller.
Operator: Your final question comes from Richard Eastman - Robert W. Baird.
Richard Eastman - Robert W. Baird: Just two questions, one on the solutions business. You talked a little about a slowdown. We saw that business slow down. Were there cancellations push-outs? How do you define that in terms of business either lost or canceled? Then also, just curious, is that transitional or do you think that we’re still working towards the bottom on the solutions piece?
Keith Nosbusch: We have not seen cancellation in our solutions business. We have seen project delays and push-outs, and I think that’s a fair characterization. We’re not sure if we’re at a bottom at this point in time. Our decline was a little greater than we thought. We had talked about a continuing decline as we went through the second half of the year. We’re not sure if because it was a little greater in the third quarter, if we’re going to see some leveling out in the fourth quarter or not. I think that’s one of our open questions and one of the reasons, Q4 has a little bit of risk, back to John Inch’s question. So we are hunting for the bottom in solutions business and we’re not sure if we’re there yet. Obviously, one of the dimensions we will be looking at is, do any of those delays and push-outs result in cancellations, that’s something we watch very closely and we’ll be monitoring as we go forward.
Richard Eastman - Robert W. Baird: Then, just as a follow-up. Keith, as you look out into your fiscal ‘10, we can see the PMI improving a bit, industrial production kind of sequentially improving. How do you handicap capacity utilization, especially on the manufacturing side? Given it’s at an extraordinary low level, how do you see the absorption of that excess capacity playing out in your business, in your prospects in the next 12 months?
Keith Nosbusch: We’re right in the middle of doing our 2010 plan at this point in time. So, we don’t really have a good picture of how we’re going to anticipate that dimension at this point in time and something we’ll be working over the next couple of months and come November we’ll have a better view simply, because we’ll have a little more run time. I mean, it’s going to be clear that capacity utilization will come back over time, but our whole strategy is not just dependent upon capital spending. We have other dimensions that we’re looking at. Productivity continues to be critical on a global basis. Cost reduction is critical on a global basis. Sustainability is creating more opportunities. I don’t want to say yes, that that’s going to replace something like a capacity equation, but I think it’s real and there’s more to it than there was previously. Then finally, we have the regulatory and compliance dimensions of our business. So it’s more complex than simply where are we at the capital spending cycle, I mean the capacity cycle, although obviously that’s a big one for pure capacity CapEx, but even that is different depending on what geography you’re in. Obviously, the mature economies, it has a very dramatic impact, but in the emerging economies, there still is greenfield investments that are going on and we would expect that to have a more positive effect. So I guess a long-winded answer to just say, there’s a lot of dimension and capacity utilization is one of them.
Rondi Rohr-Dralle: Okay. With that, we’ll conclude today’s call. So thank you to everyone who joined us today.
Operator: Thank you. That concludes today’s conference call. At this time, you may disconnect. Good day, everyone.